Operator: Good morning. My name is Mike, and I will be your conference operator today. At this time, I would like to welcome, everyone, to The New York Times Company Q4 and Full Year 2015 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I will now turn the call over to Harlan Toplitzky, Executive Director of Financial Planning and Analysis. You may begin your conference.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you, and welcome to The New York Times Company's fourth quarter and full-year 2015 earnings conference call. On the call today, we have Mark Thompson, President and Chief Executive Officer; Jim Follo, Executive Vice President and Chief Financial Officer; and Meredith Kopit Levien, Executive Vice President and Chief Revenue Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2014 10-K. In addition, our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I turn the call over to Mark Thompson.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Thanks, Harlan, and good morning, everyone. Well, as you can see from the results we released this morning, we had a strong quarter and an encouraging 2015, and we begin 2016 with high hopes for the future. Let me deal first with the quarter, briefly review the past year as a whole, and then turn to 2016 and beyond. In Q4 2015, we saw adjusted operating profit of $118 million, a 13% increase versus the prior year, driven by solid growth in digital advertising and consumer revenues, as well as good cost management. We had another quarter of strong net gains in digital-only subscriber numbers, with an additional net 53,000 subscribers. It was the biggest quarterly addition for three years and represented a 20% growth in subscriber numbers, compared with the same quarter in 2014. Continued improvement in retention and growth of international subscribers and the success of target pricing to specific market segments, like college students, all helped us to maintain momentum. We believe our digital-pay model has great potential and that is being born out in the acceleration we're seeing in our year-over-year subscriber growth numbers, as well as the related revenue growth. In our last earnings call, we predicted a return to revenue growth for digital advertising in the fourth quarter and we achieved that. Indeed, we did somewhat better than we predicted, posting an 11% year-over-year digital advertising revenue increase in Q4. Rapid growth in mobile ad revenue was an important factor, as well as intense demand for the production and distribution of branded content. Important also was the November launch of the New York Times VR app, not to mention the distribution of more than 1 million Google Cardboard, virtual reality viewing devices to our subscribers. Total revenues for the quarter were flat at $445 million with strong digital performance, offsetting a moderate print advertising decline, as well as a slight decline in print circulation revenue. Significant costs control also accounts for the substantial increase in profitability. Let me now consider 2015 as a whole. In the fall, we published our path forward, a short statement of our strategic ambitions for the coming years. Central to those ambitions is our determination to double our pure-play digital revenue over the next five years. And it was very encouraging to see tangible steps towards that target in 2015. During the summer, we passed the 1 million digital-only subscriber mark and we ended 2015 with 1.1 million digital subscribers. We expect to end 2016 with more than a million and a quarter digital-only subscribers. The digital advertising market is undergoing profound change and we're not immune to its volatility, but we believe that our strategic approach to rapidly build out new high-value propositions for marketers in branded content, mobile, video and VR is paying off, with strong growth in three out of four quarters. We will continue to invest in advanced storing technology and talent in mobile ad innovation and in a broad range of services to help advertisers reach their target audiences on our own assets and also across other platforms. T Brand Studio is a particular success story with no fewer than 120 campaigns launched for 70 advertisers since we started the business in January 2014, just two years ago. We don't expect digital advertising revenue growth associated with these new growth areas to be even across the year. But we are confident that we have the talent and the drivers in place to make 2016 a year of strong digital advertising growth. Print advertising continues to vary unexpectedly month-to-month, but the significant pause we saw in the first half of the year moderated somewhat in the second half. As you will hear, so far at least, that more moderate picture is extending into early 2016. Print circulation revenue followed a more predictable pattern with home delivery price increases compensating for most, but not quite all of the volume declines both in home delivery and single-copy sales. Adjusted operating profit for the year was up to $289 million, compared to $256 million for 2014 due to lower costs and strong digital revenue growth. I might add that 2015 was a very strong year for Times' journalism with exceptional work in international news, where our continued investment in global news gathering enabled us to cover stories like the refugee crisis and the Paris attacks with more depth and focus than any other news provider, as well as investigations and features. I think it's also worth noting the exceptional and innovative coverage of Tuesday's Iowa caucuses. We saw traffic totals in the top 1% of all traffic days in the history of The New York Times and very high levels of engagement, including the highest number of readers we've ever had on a live blog during the 24-hour period. The presentation of the story on smartphone complete with animating infographics broke new ground. So, what are our plans for 2016? Our path forward calls for us to reach out to new audiences at home and abroad, to substantially grow the number of the most engaged users, to further grow both our digital circulation and advertising businesses, to develop our mobile video and branded content businesses, and to exploit other B2B and B2C opportunities. Over the course of 2016, therefore, we expect to invest judiciously in growth, to develop content for targeted international audiences and to market the Times more effectively to them, to grow our multimedia capabilities in video, VR and audio, to further build out T Brand Studio, and to extend the package of services we offer our advertising partners, as well as other initiatives. But one of our achievements in recent years has been to combine investment in digital growth with a tight grip on costs, and we're still determined to focus on both. Over the coming months, we will take a close look at our existing cost base, even as we make targeted investments in our digital future. We know that success was dependent on the quality of journalism we offer our users here and around the world, and we must maintain that quality. Nonetheless, we believe that alongside investment in our newsroom and elsewhere, there is scope for further structural savings across our cost base. Deep into its digital transition, The New York Times Company, unlike many of its rivals, remains a very profitable company and we're determined to grow that profitability just as we did in 2015. Although in 2016 we expect our investment in digital will put downward pressure on operating profit, we are committed to returning to operating profit growth as soon as we can. In summary, I see 2016 as an investment year, building on our strategy and some of the key successes of 2015. I see it as a year of continued transformation of the business to meet the changing needs of our customers and a changing market. And I see it as a year in which we take the necessary steps both to double our digital revenue over the next five years and to grow the company's profitability in the long-term. But now, let me hand over to Jim.
James M. Follo - Chief Financial Officer & Executive Vice President: Thank you, Mark, and good morning, everyone. As Mark said, we closed 2015 with a solid fourth quarter, highlighted by strong growth in profitability, driven by solid digital consumer and advertising performance and good cost control. Adjusted operating profit rose 13% in the quarter, to $118 million and adjusted diluted earnings per share was $0.37 in the fourth quarter, compared to $0.26 in the prior year. We reported GAAP operating profit of approximately $88 million, compared to $62 million in the same period of 2014. Overall, revenues were flat in the quarter with strong digital revenue growth offset by weakness in print revenues. For the full year, adjusted operating profit also grew 13% to $289 million, while operating profit grew 49% to $137 million, on revenues that were down less than 1%, or $9 million. Circulation revenues increased approximately 1% in the quarter with digital-only subscription revenue growth more than offsetting print declines. Digital-only subscription revenues were approximately $50 million in the quarter, an increase of 13% from the same quarter in 2014. On the print circulation side, we benefited from January 2015's home delivery price increase, although higher revenue associated with the new rates was outweighed by overall print volume declines. The print decline was driven by lower single-copy revenues. We again implemented a home delivery price increase at the beginning of the first quarter of 2016 at a rate similar to recent annual price increases. Advertising revenues were down 1% in the quarter with digital revenue growing 11% and print advertising declining 7%. The digital advertising performance was particularly encouraging, given the tough year-over-year comparisons, where digital advertising grew 19% in the fourth quarter of 2014. Digital advertising reflected strong growth in mobile, branded content and creative services revenue. Revenues from our initial slate of VR films in the quarter also contributed to growth. Mobile revenues continued to grow at a rapid rate versus 2014, up 72% in Q4 and 58% for the full-year and represented approximately 22% of total digital advertising revenues in the quarter. The lower print advertising revenue was due to declines in the New York Times and more significant declines in the International New York Times. In the New York Times, luxury, media, travel, real estate, and home furnishing categories all performed well in the quarter. While entertainment, financial, technology, and telecom advertising were weak. The decline in the International New York Times was mainly driven by a decline in the luxury category, and foreign currency exchange rates also played a part in that decline. As usual, we experienced significant month-to-month volatility in advertising revenues. Our quarterly performance strengthened as the quarter progressed as illustrated by the fact that overall advertising was down 9% in October, flat in November and up 7% in December. And finally on the revenue side, our revenues are flat in the quarter. That category includes NYT Live, which is our live events business, our Crossword product, building rental income, digital archives and others. Digital archives and building rental income grew in the quarter but were offset by declines in NYT Live and our retail store. The decline in NYT Live was in part due to the postponement of our luxury conference in Paris. Operating costs decreased again in the fourth quarter by nearly $30 million overall, while adjusted operating costs declined $14 million, or 4%. Operating costs decline in the quarter mainly due to print production and distribution efficiencies, declines in severance, depreciation, amortization and raw material costs, as well as lower marketing and promotion, benefits and non-operating retirement costs. Our focus on reducing legacy cost remains a top priority, while at the same time we'll continue to invest in growing our digital revenues. Our non-operating retirement costs were down in the quarter to $7.5 million from $11.2 million in the prior year due to both lower pension interest expense and retiree medical costs. Moving to the balance sheet, our cash and marketable securities balances was $905 million, and our total cash position exceeds debt and capital lease obligations by approximately $473 million. While our qualified pension obligations declined at year end, due to a rise in discount rates from prior year, plan asset performance trailed our expectations. Thus our unfunded qualified pension obligations ended the year roughly flat with the prior year at $273 million. The company has repurchased approximately $6.5 million Class A shares for $83 million to date as of February 2, under our previously announced $101 million share repurchase authorization. And let me conclude with our outlook for the first quarter of 2016. Circulation revenues are expected to increase at a rate similar to the fourth quarter trend, driven by the benefit of our digital subscription revenue growth, partially offset by lower print circulation revenues. Despite the impact of the home delivery price increase. We expect the total number of net digital subscription additions to be about 50,000 in the first quarter. Overall, advertising revenues are expected to be down between 2% and 4% with digital advertising revenue growing in the mid-single digits. Other revenues are expected to increase approximately 10%, and first quarter operating costs and adjusted operating costs are expected to increase in the low-single digits. Due primarily to a change we're making in calculating interest costs on our legacy pension obligations. We expect non-operating retirement costs to decline by about $4 million in the first quarter to $5 million. And as Mark stated in his remarks, as we look out for the full year, we expect adjusted operating costs will increase in the low to mid-single digits, as we invest in certain areas of the business that we believe we can grow over time. We'll continue to maintain the strong cost discipline that we've exhibited in the past, but are willing to invest in areas of growth. And with that, we'd like to open it up for questions.
Operator: Your first question is from William Bird from FBR Capital Markets.
William Bird - FBR Capital Markets & Co.: Good morning. Mark, I was wondering if you could talk a bit about where you're focusing your digital investments in 2016. And maybe, if you could talk specifically about what you're doing in the areas of digital video and marketer insights? Thank you.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Good morning, Bill. I don't want to add much to what I said in my remarks, really. But I expect investment both in as it were conventional video. We have a great new leader of our video efforts in Alex MacCallum at the Times. And I expect to invest more in conventional video. We also want to back up the success we had in Q4 2015 with the launch of VR app and the delivery of more than a million Google Cardboard viewers to our subscribers with more investment in VR capability. And on the marketer side, I might just hand over briefly to Meredith, but we believe we've got a really rapidly growing business in T Brand Studio, and we think that the range of services that we can offer, as you know, we're – in T Brand Studio we're making content for advertising partners. We think the range of services we can offer those partners could be broader than it currently is and we'll be investing in that. But, Meredith, do you want to talk about...
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Sure.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ...about the marketer side.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Sure. Good morning. I think Mark actually just headlined it very well. I'll say we had a very good year in T Brand Studio, and we're doing very well in helping marketers develop the right creative. We're also seeing quite a bit of demand for distribution of that creative, and we're building out our portfolio services to be able to help them do that. We're building out our sort of capability and expertise at making the branded content at the point of discovery richer and more compelling, and I would say we're going to keep investing in people and technology capabilities around sort of advanced storytelling formats. So, VR is one of them, but there are many others.
William Bird - FBR Capital Markets & Co.: And separately, could you talk about your current perspective on your plans for utilizing your growing cash balance? Thank you.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Jim, do you want to tackle that?
James M. Follo - Chief Financial Officer & Executive Vice President: Yeah. I will. Bill, we're still executing under our share authorization program. And as I've said, we're probably a little bit more than $80 million into that. So, we'll continue to evaluate that but we did say, when we put that in place, we said that was kind of a one-off issue, where we would be essentially offsetting the dilution from a warrant exercised earlier partly, but we'll continue to explore that. We'll continue to be mindful of our pension obligations as well, and I hope to give you an update on that as well, those issues we hope to take care of themselves, through interest rate. That doesn't really happening at least in the short term. We feel reasonably good about where we are from a dividend point of view and the amount of cash that we generate annually being paid out in a form of dividend. So, we'll continue to watch it, but right now we feel like the balance sheet is a good place. It gives us a lot of flexibility to be able to invest where we need to. But that will change over time. Obviously, pension obligations, we hope will settle themselves and that might free up some of our thinking there. But right now, we feel pretty good where we sit from the balance sheet point of view.
William Bird - FBR Capital Markets & Co.: Thank you.
Operator: Your next question is from Alexia Quadrani from JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. If I could just dig in a little bit further on the advertising trends, I know it's always very volatile and we shouldn't maybe read too much into it, but it does look like trends have been better both in print and in digital in the recent quarters. I guess are there any changes that you're seeing ahead? I mean, could we be bumping up close to the bottom maybe on the print side? And on the digital side, I know you had a lot of internal changes, which clearly are having some positive results there. Can those be – can we see incremental growth, I guess, still coming from those changes ahead on the digital side?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. I mean. I think – good morning, Alexia. I think a lot of what we think is embedded at least for the next quarter and the guidance that Jim shared. But, I'll say two things. One is I think – we all think that the character of the ad business is fundamentally changing. It used to be a business that was highly, highly dependent on display and not changing. And that's making for what feels like more volatility or less certainties for month-to-month. But the business now is much more about branded content and content services in mobile and video and sort of what I just refer to as kind of advanced storytelling. And as a result, I think that means bigger, more complex partnerships with marketers and often take a while to get up and off the ground. So, all a way of saying we have a fair amount of optimism about our continued growth in the areas that we've been saying, we have been growing, which are video, branded content, mobile and services around branded content.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And if I can just say in particular one news I'm excited about is the work we're doing in mobile. I think the way we're deploying our journalism on smartphone, the stronger visual impact of what we're doing, the launch of new ad units in mobile, some of the numbers we're seeing around engagement on mobile and the straightforward dramatic growth of mobile as a percentage of our digital advertising, all feels very encouraging. And that business of – can you begin to really drive revenue from mobile alongside the levels of consumption from mobile, I think we made – I would say dramatic gains across 2015. And I think we look set fair for 2016 in mobile as well.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you. And just one quick follow-up, if I may. I apologize if I missed this. But the impressive growth in the digital pay subs we saw in the quarter, was there anything unique in the composition of those new subscribers in terms of what type of subscribers they were?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: I think we're continuing to see success where you've sort of heard us talk about it all year. So, education, individual subscription, International – International is actually growing at a pretty fast clip – and also B2B. So, both education B2B and corporate subscriptions. We're seeing growth in all of those areas and we expect those to be the areas of growth for next year. I'll also say, I think, we're retaining better. So some of the new tactics we've deployed around retention are really starting to take root and you'll see that play out across the next few quarters.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you very much.
Operator: Your next question is from Craig Huber from Huber Research Partners.
Craig Anthony Huber - Huber Research Partners LLC: Yes, hi. Thank you. I got a few housekeeping questions first, if I could. Pension, what is your outlook here for potential contributions to the pension this new year?
James M. Follo - Chief Financial Officer & Executive Vice President: Craig, we are well ahead of required funding, government-mandated funding for many years – not many years, I should say, several years. So I think we still hold that interest rates – we'll hold out to see where interest rates go over time. So we don't see any real immediate need to be more aggressive on funding. There are some required smaller contributions that are a result of some contractual obligations. Those are relatively small. And so our outlook for the year should be relatively small, but no discretionary contributions, that's our current posture.
Craig Anthony Huber - Huber Research Partners LLC: Okay. Then also, I want to ask you for a daily and Sunday circulation print volume, what were those percentages changes in the quarter year-over-year, please?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Q4 daily down 6.9%, and Sunday, 4.4%.
Craig Anthony Huber - Huber Research Partners LLC: Okay. Thank you for that. Then also, newsprint, I'm curious what the average percent change there was for price and also consumption, please, in the quarter?
James M. Follo - Chief Financial Officer & Executive Vice President: I think the total raw material number, I think, in Q4 was down about 4 million. I think three quarters of that was price and one quarter was volume related. I will say that newsprint price has been kind of declining really all throughout 2015. We think that bottom has been hit and some early signs of prices potentially rising next year. There's been some small unannounced price increases. We'll see where that goes. But I think that the idea that the prices might continue to climb, we don't think is likely to happen.
Craig Anthony Huber - Huber Research Partners LLC: Also I just want to finish up here with some – a couple questions on costs. In the fourth quarter, it seemed like your costs were meaningfully better than you guys were looking for. I wonder what that change was as the quarter played out? And also, for this new year, I make it cost adjustment up (26:10), I guess, low to mid-single digits. If you take out the digital investments there, what would that be, please?
James M. Follo - Chief Financial Officer & Executive Vice President: Well, we haven't given – we're not going to get to that level of granularity. The one thing I would say is we continue to both in – all throughout 2015 and then into 2016, we continue to take out costs out of legacy business. That will continue. I said – I mentioned that newsprint price alone was a pretty big help in 2015. It will be a help in 2016 because we're still beginning – in the early part of the year, we're still be comping against some lower prices, but prices that are likely to be higher as we enter the back half of the year. So, I think – so, I'm going to break that out, but I will say that there was a similar trend that occurred this year too which is pretty strong control on the legacy side, pretty good investment on kind of the advertising technology marketing side. We think those likely continue, but I don't want to be more precise than that.
Craig Anthony Huber - Huber Research Partners LLC: Okay.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Only thing we might add is that 2016 sees a couple of exceptional news events, the Olympic Games, the Presidential election, which have got, as we're one off one, costs that recur once every four years, but not every year.
Craig Anthony Huber - Huber Research Partners LLC: Great. Thank you.
Operator: Your next question is from John Janedis from Jefferies.
John Janedis - Jefferies LLC: Thank you. Good morning. Maybe this one's for Meredith or Mark. But you've highlighted timing in comps and the digital advertising segment and expanded the offerings to advertisers. I was wondering, given the reported mobile growth from the larger pure-play companies, there is that narrative that budgets are further shifting from print to mobile. I was hoping you could comment on that, given your unique position as a national leader in print, and then also with a large digital and growing mobile business.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Hi there. I will say I think Mark talked about the level to which mobile grew as a percentage of advertising. So, I think, in the fourth quarter, it was 22% of our advertising and most of that growth is on the smartphone specifically. So, we're very optimistic about that continuing. What I'll say is we're learning quite a bit from what's going well in mobile on the direct sales side with our Mobile Moments product and our Flex Frame ad product, and we're going to translate a fair amount of that back into Web display. So, I think we have some – while that business is sort of broadly softening. I think we have some optimism around the future there. We treat it more like mobile. And I think Jim talked about print and our thoughts on sort of print are already embedded in the guidance. But there are plenty of categories that remain quite strong in print, luxury being the biggest one for us. And we still have a fair amount of optimism there.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And some of the transition is from desktop digital to mobile rather than from print to mobile.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: That's the other thing.
John Janedis - Jefferies LLC: Yes. So you think the majority then comes from display?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Say that again.
John Janedis - Jefferies LLC: I'm sorry. Do you think the majority then of that growth is coming – meaning a shift from display or particularly, where is that budget coming from?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Desktop display to smartphone versus print to smartphone.
John Janedis - Jefferies LLC: Okay. Thank you. And then maybe, Jim, just a quick follow-up in terms of that investment in digital. I mean, I don't know if you want to give the exact number, but is it fair to say backing in the numbers from Q1 that you're looking maybe a low to maybe mid-tens of millions investment this year?
James M. Follo - Chief Financial Officer & Executive Vice President: Well, low- to mid-single digit on our base, would put you in that – that's as good as the numbers I can give off a base of whatever numbers, 3.3 so (29:53).
John Janedis - Jefferies LLC: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: So, that's the guidance we're giving. It's a reasonable range. I think we're going to have to be adaptable as we go and we will. We'll leave ourselves some room to experiment and to test a few things. So, I don't want to be as precise...
John Janedis - Jefferies LLC: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: ...as the number that I've given already.
Mark J. T. Thompson - President, Chief Executive Officer & Director: I think, I mean, I want to say our posture on investment is to experiment and back success and feed money in as we see success. So, I believe we should remain fairly flexible about the volume of investment through the year.
John Janedis - Jefferies LLC: Thank you very much.
Operator: Your next question is from Doug Arthur from Huber Research Partners.
Douglas Middleton Arthur - Huber Research Partners LLC: Yes, two questions. Meredith, you broke out mobile as 22% of digital. Can you update us on video as a percent of total? I think in the third quarter, you said less than 10% and native. And then the second question to Mark, I mean, Mark, obviously we've talked a lot here on this call about costs and digital investment. You sort of implied in your remarks that this 2016 is a transition year, it's an investment year, and that you would resume operating profit growth once the investment's done. Then you also talked about structural cost cuts in the legacy business. I'm wondering if you could just clarify your outlook on operating profit growth, generally speaking, for 2016. Thanks.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Let me go first. Hi there. So, video is still a fairly small percentage of our overall business which I think we've said, small but growing. So, video and VR were strong for us in the fourth quarter again on a small base, but we do expect that to grow. Branded content is becoming and was in the fourth quarter a much more meaningful percentage of the business, and I'll say that a fair amount of that was also video driven, so branded content programs that had video production as a meaningful part of what we were doing.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Okay. And if I can, Doug – I mean, as I said in my remarks, Doug, we're committed to growing profitability over time. 2016, I think, you correctly identified as a transitional year. And as Jim said, we see operating costs going up somewhat, principally because of investment. But we're committed to margin protection and growing profitability over time. Over 2016, we're going to look hard at the cost base. We've had success in recent years. And indeed in the quarter, we're talking about Q4 2015 in containing our costs. We believe there is scope for structural reduction in our costs base. We're going to explore that plan out and then implement it. And I'm not going to give you a precise timing on the transition, but my expectation is certainly as we go into 2017 that we will be looking to move to growth in EBITDA and growing profitability once again.
Operator: There are no further questions at this time. I will the turn the call back over to you, Harlan Toplitzky for closing comments.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you for joining us this morning. We look forward to talking to you, again, next quarter.
Operator: This concludes today's conference call. You may now disconnect.